Nicola Gehrt: Good morning, ladies and gentlemen. A very warm welcome to TUI's 2024 Results Presentation. My name is Nicola, and I'm here with our CEO, Sebastian Ebel; and our CFO, Mathias Kiep. We are pleased to present a strong set of numbers for the financial year and we are also pleased to say that we have achieved all our targets for this year. Throughout the presentation, we will give an update on our strategic progress on trading as well as our expectations for the new financial year. And as always, we will be available after the presentation for Q&A. With that, I have the pleasure to hand over to Sebastian.
Sebastian Ebel: Thank you, Nicola. I couldn't have done the introduction better than you. I'm really happy to present to you with Mathias the last year numbers and give you an outlook on our strategy and what we expect for the new year. You know the agenda. It's very similar setup like all the presentations before. A summary on the operational highlights, a strategy update, and a view on our midterm ambitions. Mathias will go into the details of the full year '24 numbers. The trading and the outlook we will do together. And then a short summary, and very happy to answer all the questions here or later through Nicola and the team. We have seen a strong '23-'24, not only because of the results achieved but also the progress and the transformation. And I think this is both important, because we do the transformation on the basis of a strong business, strong revenue and significant increase in EBIT, in line with our guidance we have given to you before. We have seen strong improvement of net debt, very important to us, something which is also important for the next seasons. We have seen an outstanding NPS quality scores. We very much believe happy customers come back and add a lot of value to TUI, therefore there's a strong focus on quality. We have achieved our ESG milestones, also very important. And not only the CO2 emission milestones, but also the social targets we have given to us. And we do see a successful progression of our strategy on HEX, Holiday Experiences, the asset right growth on Market and Airline, the growth on dynamic, the transformation on platforms, and I will go into details afterwards. I always say TUI of today is different to TUI of yesterday and the TUI of tomorrow will be different to TUI of today. We will further unlock significantly value for all stakeholders, which is important for us. We know that shareholders had to take a loss in the -- during COVID and therefore it's very important that we look at all stakeholders. We are growth driven by operational excellence. We have a lot of things we can do better by execution on the actions we have agreed and by further speeding up with our transformation. Going into the details, EUR23 billion of revenues. EBIT EUR1.3 billion, up 33% based on a robust customer demand. We do see that HEX has grown profit stronger with 33% Market and Airline 28%. We do see a positive momentum on winter '24-'25. What we keep in mind is that Easter this fiscal year, TUI fiscal year will be in April not in March like in '24. Bookings are up in winter by 4%, ASP is up 5%. And summer bookings are up by 7%, ASP by 3%. Holiday Experiences had a very solid and good start into the first half year. We see strong demand and higher rates for unique and differentiated products. So the unique and differentiated products give us the high margin and therefore with having said that we are able to give a guidance. We expect underlying EBIT to increase in a range of 7% to 10% by driving the agenda we will have presented. And the midterm targets remains at also 7% to 10% for the medium future to also improve further our indebtedness. If we go into the details, we have seen a very strong improvement in holiday and resorts mainly driven by the daily average rate. We have seen even stronger improvement on the Cruise sector. It's not only TUI Cruises, but also Marella by having a little bit higher available PAX days but a significantly increased in occupancy, 5%, and a very strong increase in the daily rate. Also TUI Musement doing very well, a significant increase in profitability. Experiences sold 7%. What is more important profit driver are the own Experience, the ones which we produce our own by 12%. On the Market and Airlines -- Airline, talking about one airline not airlines anymore, we have seen an improvement from EUR240 million to EUR305 million, 7% higher PAX, departed PAX, significant. We'll get into details later on, increase in dynamic package and app sales and a load factor at 92%. We have seen good developments in the Northern region. We have seen good development in the central region. We are not satisfied with the development in the Western region, although there are the main driver here are one-time effects, mainly the valuation of our maintenance reserves. You may recall that the dollar has become stronger and therefore -- and the interest had gone down and therefore we had a hit here. When we look at quality, a record high NPS, CSAT significantly better, and that's how it should be numbers when it comes to our own products. Here we had have outstanding CSATs and NPS significantly above average what we can see. And the unique products are driving this NPS and driving the special proposition that TUI has in the market. If we look forward, leisure will be a growth segment, leisure travel, globally, more outside the European core markets, but also in Europe and of course globally. And what we can reiterate is what McKinsey says, travel is the top priority also for the future people. Customers spend less on other areas, but are very linked to travel, so that's why it will stay the fastest growing consumer area spent. One additional information which is important for us, that TUI is very strong on the wholesale package. We have started to move in the dynamic package. The market share are still very different. So there's a lot of catch up potential on the dynamic part. And in a market environment where the dynamic market is growing significantly stronger than the wholesale market. What is our strategy? In a few words on one slide. We do see us more and more as a global curated leisure marketplace, where we deliver growth through our own differentiated product and through direct connect to the suppliers. The key Holiday Experiences is to have unique products, to have products which are mainly only sold through TUI if it comes to hotels when it comes and they're the big brands we have. But also we have a lot of partners which are exclusive with us who have a TUI Kids Club or other dedicated products to TUI. Cruises with our own Cruise ships. And we should not forget the experiences where we are building more and more own products to be also there unique. On the Markets and Airline side, we are undergoing a significant transformation from local markets to a global marketplace with platforms for sourcing. There we have made huge progress. We are connecting more and more to property management systems. On the hotel side, we are connecting more and more on the inventory of Airlines to get better access to inventory and to get better buying conditions. And of course, building more and more selling platforms for all the markets we are in to drive cost, but also to drive synergies to get quicker, more agile. This only works if we have a strong leadership, if we have happy employees, and we will show you some numbers later on that we really can build on the workforce we have. And of course, operational excellence and performance is very important on quality, but also on a lot of other issues. First it was important to fix the quality. There we are -- can be the best of breed. But a lot of other areas where we can get better. If we shape that down into different levels, then it is important the strategic priorities market transformation into one global curated leisure marketplace, not activities country by country, but as a global approach based on a central customer ecosystem. So wherever we get the customer from, from a seat-only customer, or a customer who books a excursion in Spain or who books a museum ticket in Berlin or buys an expensive cruise, or a very differentiated hotel product, we bring them all into one ecosystem so that we can use the data to create the right product offerings to the customer. Third, the differentiated products. Serving global demand is the uniqueness of TUI, the global platform rollout. Not one system here and there, global platforms. By the way, for me also, global platform is a very, very strong TUI brand, which we really globalize. And now wherever you go and you see a TUI hotel, it's with a strong red TUI smile. Based on a Great Place to Work people, employees have fun. Management who has fun can change a lot to the positive. And sustainability as the sixth priority is a source of good and we do see that as an opportunity. By doing -- focusing on these items, we want to grow the company without growing the operational leverage to create significantly shareholder value and of course to create value for all stakeholders, including customers. What does it mean in more specific examples? As said, the transformation will drive profits and cash generation. Cash has been always a big focus and it is a big focus. Starting left top, driving connectivity to fuel dynamic growth. More and more hotels we get access to direct connect, not through hotel bed banks, not through channel managers, through direct link to hotels. A big, big improvement to have access to the whole inventory, to all functionality. But not only hotels, also to Airline content. I'm really happy and we are proud that two days ago we were able to connect Ryanair in the U.K. to our systems. We have done so in Germany two months ago. Unfortunately, the scale of Ryanair in Germany is limited. It's by far the number one airline in the U.K. and Ireland. We have started two days ago to offer additionally products of flight connections with Ryanair. The good thing is it's completely complementary, because what we do see is it's into cities and it's from airports which we don't serve on our own. The two first days were really outstandingly good and it's exciting and I'm really curious, we are all curious, to see how this develops. Second thing, to grow the share of app sales and the gross selling opportunities. Yes, we are growing, have grown the app share significantly and this is the good message. We still have a lot to do to get in the 50%, 60% range, where we want to be, to create a value, so a lot of investment, a lot of improvements into our app business. And of course by having now capturing the data from all the entry points, from all sales point of the customers, we are able to build on the lifetime value of the customer not by only by selling more to him the right products, but also to keeping the customer through retention. This is supported by a new operating model and it just will be effective 1st of January 2025. We have built a functional organizational structure, built on global platforms. The sales responsibility of course stays in the market. The production is done more and more centrally, so one platform to connect with all the hotels, one platform on the app side sales, so the base of the app is the same in Germany, in the U.K., in Belgium, to drive cost efficiency and to drive the functionality to catch up to the best of breed. So a lot of focus on growing the app share and growing the cross-sell opportunities on the basis of the global platforms we have created. And the last but not least thing is to grow the commercial capabilities of our Airline business. An important part we do see a lot of benefits by doing that, not giving up any synergies between the tour operator and the Airline. The base of the Airline business will be the package. And again we do see a lot of opportunities to improve our Airline sector. And being very much convinced that we have good stories and a good plan and good achievements to talk about, we want to invite to the Capital Markets Day on the end of March to show what we have achieved and what we are going to achieve. We have seen strong growth in dynamic package. We are now between 10% and 20% in the main markets. By the way, in the new markets, we go dynamic. Latin America, e.g., it's based on the dynamic product. If you see that the dynamic market is as big as the wholesale market and if you do see that we have a significantly stronger market share in the wholesale package, it's now our task to come close to the same market share in the dynamic. We are on a good track to deliver that, but it's still a marathon and not a 100-meter sprint. I wanted to say walk, but it should be a sprint. On the app share, 40% increase. That's the good message. The other message is, we were just 7.3%. The better message is during Black Friday in the U.K. we achieved 20%. And the even better message is, there are still at least 30% to achieve and distribution costs and bidirectional sales are better if you have the customer in the app. And why we are confident to use so, first we know how the technical rollout plan of functionality is on the app and we know that up to 90% depending market by market are using our app for service. So they are used to it. So we just have -- just -- to explain our customers to use the -- to motivate our customers to use the app for bookings as well. So that is why we put such a big effort onto the app part. It will increase number of sales and will reduce distribution costs. On the Holiday Experiences side, we want to grow. We are now at close to 450 hotels. We want to accelerate the growth from time to time with ownership, mostly with management contract. And by doing that, we want to accelerate. The first step is 500, we said 600 hotels. These are our own branded hotels. We have several thousand hotels which are exclusive to us, which then gives us also a broad base. On the Cruise side, we just had the Mein Schiff 7 launched in summer. We will launch the Mein Schiff Relax in April next year, and a year later we will launch the Mein Schiff Flow, so a significant increase and the business have developed very, very nicely. And therefore we can go back to dividend payments, which is important to TUI as we had before COVID. By the way, the same for the hotel area. On TUI Musement, of course we want to grow profitability, we want to grow the B2C business, we want to grow the upsell, and we want to grow the new customer base, because being in the destination it's a good way to get customers which have not been TUI customers up to now. With the platforms we have developed, we want to further grow outside the known core market. We have just announced -- I mean, first we went in Eastern Europe to Poland. We are now the number one in Poland, more than 1 million customers. And from Poland we will go to the other. We went last year -- sorry, this year, to the Czech Republic. We want to double the amount of customers in the Czech Republic in '25 and we will move into more markets next year and the years after in Eastern Europe. These are very profitable markets. We have started to move into Latin America with a package. It's based on the package, based on the TUI brand, and North America will follow in due course. And on Asia, I was just there. We have started to implement or to build the first -- not to build physically, but to build the first TUI branded hotels, outstanding quality, significant demand by Chinese people or by Malaysian people, by Thai customers. So the TUI product is very well received and it's always the starting point for globalization. And why can we sell the product well in South America and Latin America? Because our hotel base is strong. The TUI brand is known and the same approach we have now done in the Far East. This we can only do with engaged colleagues who live the TUI spirit. We're doing a lot. We have a great employee engagement index in this year's survey. This is outstanding. And it's important to train our people. When we say we want to get app centric, AI centric means that we have to take our people on board, that they support that. We have -- and you should keep in mind that we have a lot of people in the service area where it's maybe less relevant. We have trained 30,000, so half of the TUI population in AI. We have seen a lot of initiatives which we are implementing in the company, so that is a very new spirit. And on the other hand, we need new good people. We have to be -- we have to attract them and therefore we have invested a lot in employees and branding. We've got a lot of rewards, awards there and it's great to see that we -- that has changed in the last two years significantly that we don't have an issue anymore to get the right people into the TUI ecosystem. So to train and to motivate very important own people who are there and to getting -- and to adding the good, very good new people into the TUI world. We are delivering on our sustainability agenda. We had agreed to SBTi targets to 2030. We are in a good process. We have achieved this year target, we'll achieve next year targets. Just a few examples. We launched the first solar plants in Turkiye. We have put a lot of effort in saving energy water consumptions, sometimes by small investments by new products to offer the customer to say room cleaning is only necessary every two days, every three days. On the Airline side, we are really happy that TUI Netherlands were able to be the number one in the atmosfair Airline Index ranking, being the most cost CO2 efficiency airline. They are pretty spoiled to have the majority of the MAX aircrafts. And -- but again, even with the other aircrafts, all the other TUI Airlines in Europe are ranking in the first very positively in this ranking. On TUI Cruises, we have all ships now equipped with shore power. So whenever there is green shore power available, we can use it. And a ship is 40% of the time in a harbor. So it is a big, big step forward. The two new ships will be LNG ships, so they can drive with eLNG and the Mein Schiff 7 which was just delivered as methanol-ready. Also this is a big progress. And small examples here in Hanover. We have a big factory for a PV plant and we are really proud about the TUI Care Foundation with their worldwide projects in countries where we bring customers to support people who have not been on the sunny side of life, to help them to get their own living, to get their education and to give -- get a good future. And this is also part of our DNA and very much supported by our employees. So this is a summary from my side. It's always important to have also hear (ph) numbers and Mathias, that's what you do?
Mathias Kiep: Thank you very much, Sebastian. Good morning to everyone from my side as well. On the '24 results, usual review of P&L, cash flow and balance sheet. This time I would also like to take a step back on the results we achieved in all the segments to have a view on how has the financial profile changed versus '19 and then looking forward, as Sebastian said, we go into trading and outlook in the next section thereafter. Now, three things that I think are really important and are -- that I'm really pleased with on '24 results. One, our revenue increased in line with our guidance with 12%. Our guests have never invested more into holidays with us than in 2024. This is really great to see and shows the resilience of the product. Our earnings growth was 33% on the EUR1,296 million. Constant currency, 35%, in line with our expectations and fully in line with our guidance and communications throughout the year. Our targets that we set 12 months ago, we achieved and I'm really pleased with that. And then a very nice and very strong improvement of our financial profile as a result and our leverage on balance sheet improved from 1.2 to 0.8. And that's a very good step towards this target of being strongly below one times. And I think it's a good foundation as well for the discussions with the rating agencies in the coming months. On that basis, performance EBIT, where does it come from? Sebastian just walked you through this. It comes from all segments. We see the recovery in the Cruise segment '23, still with a bit of a not normal winter, but also the growth there. You see the strong performance in Cruises and first steps towards better results also in the Holiday Experiences in Markets and Airlines. So altogether the EUR1,296 million, as we said, this confirms the corridor that we set during the course of the year. And now taking a step back, these operational results, how has the financial profile actually changed? And, I think, that's something which is really important. So if you go through hotels, the performance very clearly strongly above 2019, if you take this as a reference here. And there's always the comment on what is the share of joint ventures, how much? Why is RIU so strong. And I think if you look at this, this performance has created a lot of shareholder value and fully in line with our capital allocation policy. So if you look at the ROIC in RIU, which is above 20%, I think this is the strongest ROIC that I know of in the hotel sector. And then secondly the dividend stream that is coming out of our joint ventures with EUR50 million out of EUR150 million result, that's a very sound stream and we expect the 30% payout going forward. So I think hotels, a lot of value creation, and then secondly in line with our capital allocation policy of growing. And then at the second time make sure that the leverage and the balance sheet is supported. The same you see on the Cruise side. And again, very strong performance, first time above 2019. Secondly, the returns in the segment really, really strong. And then the dividend stream in TUI Cruises -- from TUI Cruises to us has been restarted and we saw the first dividend earlier than expected as kind of a kickoff dividend of EUR20 million that was paid in our fourth quarter. And that's, I think, a key element towards our expectation that TUI Cruises can return towards dividend payments in line with the past in 2025. And then last point to Markets and Airlines, if you look at their profile, I think, yes, the EUR20.3 million in line with the historic, if you look, go to the details. U.K. ahead of 2019, Germany ahead of 2019, Poland strongly growing. These are all the elements and the small gap is coming in particular from the restructuring of France, which has been very successful. We're taking out not profitable PAX. So overall same kind of and better PAX numbers. At the same time, dynamic packaging has doubled versus 2019. Revenue increased by more than 25%. Again what we also see this year, strong focus of our guests to invest into holidays, have a good holidays, high priority in terms of consumer spend. EBIT margin is starting to grow again towards to our target of around 3% midterm in this segment. And then very importantly our risk capacity in the Airline has been reduced, so from 150 aircraft to something like 125 to 130, end of year 125. And the quality of the fleet has increased, so 2.5 times more MAX aircraft. And then at the same time, we managed to bring the leverage in the segment down. So the capital that we need to generate these results by EUR0.5 billion, so leasings have been substantially reduced. And I think if you then take a step back on these three segments: hotel, strong value creation; Cruises, strong performance, dividends start to be paid again from TUI Cruises; and now if you look at Markets and Airlines, strong improvement in financial profile because what we need to generate the result is a much better mix. Now coming to the details of '24 and the P&L, the EUR1,296 million, you have just seen all the rest of the P&L is in line with our expectations. Adjustments in line with the corridor. We said interest even a bit lower than anticipated, also driven by better interest income. And the tax rate of 80% has been confirmed, all resulting in a EUR1 EPS and that compares with around EUR0.60 EPS in the year before. If you adjust for the capital raises that we had in 2023 and on that basis a higher growth in EPS, even higher than we have in underlying EBIT. Looking ahead, adjustments we expect that they grow to a corridor of EUR40 million to EUR60 million, reflecting the cost of transformation and reflecting what we think we need in order to get to a higher earnings level, in particular in Markets and Airline. And then the interest corridor in line with this year, and that's something I would say this is a very good result because on the cash side we are now below EUR300 million and we expect that next year, despite interest rates are coming down and we will have less interest income and a lot of our interest is fixed going forward, this corridor can be maintained. To cash flow, I just talked about cash interest. The rest of the cash flow statement, again in line with our expectations and in line with the corridor that you saw during the course of the year. Working capital around EUR200 million, that's in line with our top line growth. Other cash effects, that's taking out cash, non-cash elements in the cash flow statements that are sitting in EBIT. Sebastian just mentioned the impact that we had from valuations which are non-cash and which sit in EBIT. We reverse that the same. Less spending on maintenance payouts, because of having less volatility in the aircraft portfolio. Then we take out the joint venture results, because they are non-cash and add back the dividends. Strong improvements of course. If you look at the relative side and dividend payments, you see the recovery that all these segments have. Also on the cash flow side the business have. And you can also see how important it is that TUI Cruises then in 2025 returns to a normal payout interest below EUR300 million. Again, I expect this to be rather flat going forward. And then the investment to EUR600 million. We expect a slight increase of this number going forward. You may notice that the structure of our cash flow statement has changed. We now also put the lease and asset financing amortization as a separate line, just next to investments. I think that gives you even more transparency in terms of what these payments are. And it's also important to note that of these payments around 10% are for asset paybacks, asset financing, so a different quality compared to what we have as scheduled lease amortization. Just on the CapEx, because Boeing is playing a major role on this. With the Boeing delivery schedule, we come from the EUR600 million this year. What we expect next year is more investments into hotels. That's in line with the capital allocation strategy that I just presented. We see really, really strong returns in the segment. At the same time, this also doesn't make sense to have major divestitures, because there the portfolio as such is providing really strong returns compared to the past. And then you will see an increase in Airline payments and debts, because the delivery schedule that we have with Boeing is delayed compared to our original expectations. And that means we pay more into advance payments and they sit on balance sheet and we don't get the aircraft and we can't release these payments. So if you look at our delivery schedule, if I may, and the session, the part on investments here, we expected to receive eight aircraft in our financial year '24, eight new MAXs. We have received five, three slipped into 2025. We expect now a much flatter delivery stream compared to this very focused one that we had originally agreed, '25, '26. And that means that we will constantly have more PDPs on balance sheet than we expected, which translates into higher CapEx. Because whenever we get the aircraft released normally, the PDPs put them into a lease and then we can use the PDPs for the next aircraft that is to be delivered. Now, aircraft financing, also to mention that, given the recovery of the financial profile and the strong progress that we've made, and if you look at our interest cost development, the benchmarks there, more and more flexible options are now available to us. And that's something that we will approach in the coming months and look at what are different options compared to leasing that may have an impact on how this is recorded in the cash flow and in the P&L. But in the end, I think the message that we wanted to leave with you is, one, Boeing delivery has an impact on our numbers. At the same time, we have more options going forward and I look forward to that. Now ending with the financial statement is of course the balance sheet. So you see the improvement year-on-year, that's coming, one, from cash flow generation and, second, from more down payments in the lease portfolio than the renewed leases, just mentioned the Boeing portfolio. Overall, I think that's a result which is even slightly better than what we expected during the summer. And you see that result as leverage comes down to 0.8 times. As I said in the beginning, that's a very nice and very important step towards our targets. And on that basis, I would like to conclude on '24, I think very strong revenue growth translating into good earnings performance. We still have a lot to do. At the same time, if you look at the financial profile, that's the right trajectory to grow the company going forward and growing the business. I think this is ahead of us and maybe before we go into what is ahead of us, a final word on capital allocation. We have slightly updated that to give you -- to reflect what has been achieved. I think, again, for us, number one, is to grow the business, make sure operationally we are on the right level and we see a lot of opportunities. I think, Sebastian, what you mentioned just shows this is a very attractive sector with a lot of opportunities. Then balance sheet, a good step. Still more to come. And we said last time when we were here 12 months ago, we want to clarify what could be a capital allocation, capital return strategy for shareholders once we have done operational recovery, balance sheet, and then also the rating agencies have kind of upgraded us. Now the rating agency is still something to be discussed and to come. And under that basis, I think we can be clearer on what is that capital allocation in terms of thinking on shareholders going forward in 12 months, in December 2025. But now what will be in 2025, I think that's what is directly ahead of us. And Sebastian, how do you look at current bookings?
Sebastian Ebel: Thank you, Mathias, for the look backwards. Looking forward of the winter, and again Easter is in April. Now 62% of our program is sold. That is in line with previous year. Bookings are up 4%. The prices are up 5%. If we look into summer, the first glance, and it's only sold 17%. So we have to be careful. Bookings are up 7%, a big increase in Germany and prices are up 3%. We have seen recently strong momentum and we believe that this is a good picture for winter and for summer. The volatility on our hedge position is very limited or the result of our hedge position is very limited, because we are well hedged and we are well hedged at good rates. That was Market and Airline. If we look into a Holiday Experiences, we also had a very good start on hotel. Unfortunately, we have the one or the other renovation. So the available bed nights are slightly -- shows a slightly lower number. Occupancy is 7% up at this time of the year for the first half year and the rates are again 6% up. This is really an outstanding result. On Cruise, we have seen this significant increase, capacity increase. The daily rate is slightly above the year before when we had the 11% increase. Occupancy is still below on a very, very high level -- low compared to last year. This is mainly the impact on the Suez Channel closure. We had to do some rerouting and to sell some other cruises. We filled the ships. We always had during the last month 99% to 104%. So it's a great achievement. And Musement, we again expect a high single digit growth with own experience, which is important for our profitability. And this leaves us with the guidance. Mathias?
Mathias Kiep: Yes. Thank you, Sebastian.
Sebastian Ebel: I believe in the CFO is quite often higher.
Mathias Kiep: The one says so, the other says so. Nevertheless, I think what you just described, these booking trends that we see in markets and what we see in the products, I think this results in this -- in the cornerstones of this guidance. So revenue expected to grow 5% to 10% and EBIT to grow 7% to 10%. And let me go through the details, because what you just said, Sebastian, I think this clearly translates into these elements and cornerstones. So hotels, you've just seen the portfolio is not -- it's not changing too much. At the same time we have better rates and better occupancy, so we expect further slight growth in the segment on a very high absolute contribution already today. Cruises, the new ship just mentioned, Sebastian you mentioned, the profit contribution that it has and we really look forward to it, because bookings are really encouraging. At the same time also in Cruises you have higher ESG costs and Suez is still a challenge to the sector and something which is new, how to best cope with that? Musement. Musement always grows when you see volumes coming from the markets into the -- into this business. And given the growth that we see for both the winter and the summer, this will translate into further growth of Musement. And then secondly Markets and Airline, all the initiatives, the good booking looking ahead, so we expect also a growth which is moderate here. And why moderate? I think, at the same time, we have some headwinds in terms of the SAF and ETS costs. That's something which this whole sector has and which is reflected in this growth. And we clearly see that all the initiatives are starting to pay off. Ryanair was just mentioned. So all these initiatives we are looking at that very pleased. Now important, as Sebastian said, we have Easter shifting towards our third quarter, so this will be really an impact that we will see in our second quarter, then impacting the full half year. In terms of further assumptions, I just mentioned them, so adjustments will increase in line what we think we need in order to support the transformation in Markets and Airlines, interest more or less stable compared to this year. Net investment slightly up. I just mentioned all the details on Boeing, our lease and asset financing one, the cash costs are going to be stable, the same on the balance sheet position and this will all then result a bit like this year in a further improvement on our balance sheet net debt. And with that, I think Sebastian for you and summary and final words, obviously.
Sebastian Ebel: Thank you. Thank you, Mathias, A short summary before we come to the question section. We are committed to profitable growth, which comes from new products to existing customers and to new customers. We are committed to grow the customer base by -- out of the existing markets and also by new markets. We use the unique products to attract customers and we will be very tough on the transformation to get all the benefits from a global curated leisure marketplace built on global platforms, which we roll out. And not to forget the central customer ecosystem, which is important to build on data, the right customer approach. And by doing that, as Mathias said, we want to deliver 7% to 10% growth in EBIT and not only for next year, but for the next years. And with that we want to create value, significant value for all stakeholders, for shareholders, for customers and also for our own people.
Nicola Gehrt: Thank you so much, Sebastian and Mathias. The operator, we are now available for Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Jamie Rollo at Morgan Stanley. Please go ahead.
Sebastian Ebel: Good morning.
Jamie Rollo: Thanks. Good morning, everyone. Three questions, please. And first one is really about the sort of cadence of profit in the year, because you mentioned a few things; investment in the first half ahead of the summer, the Easter shift, and those maintenance reserves which hit Q4, which I guess reverse in Q4 this year. So it would be great if you could please quantify each of those items? And then secondly the guidance of P&L interest costs of around EUR400 million. I mean, it's not much lower year-on-year. I'm just wondering what you think a sort of normalized medium term run rate would be, assuming you get the credit rating upgrade and obviously rates are coming down a bit? And then, finally, just on current trading, Germany much stronger than the U.K. is that just the market share gains post FTI and on the U.K. down 3% for the summer. Should we read too much into that? It does look a bit weak. Thank you.
Sebastian Ebel: The first one is typical CFO questions.
Mathias Kiep: Thank you. So, good morning again, Jamie. Just on the question, in terms of how is the quarterly development, how do we expect that? I think, the Easter shift, if you look at the business, that's easily something around EUR30 million to EUR40 million. That's something we always saw in the past. And given that the business has grown since we saw these effects and we had exactly that Easter full in the third quarter, it's an effect that's getting also bigger compared to the past. In terms of first quarter, indeed we see the investments that we need. So we expect, in general, that's probably fair to say that most of the 7% to 10% will then be delivered in the second half of our fiscal year. On the interest, I think this EUR300 million cash plus then the non-cash interest on top, that's something I would expect to be relatively flat for the coming years. I mean, interest rates are coming down. We have profited a lot from interest income. At the same time this will help us on the interest cost side, but at the same time we've just done quite a refinancing which is at fixed interest rates. And then secondly, a big portion of our interest cost sits in the lease and asset finance portfolio, which only will then have an impact of this lower cost environment and our, if we get it, potential rating upgrade in the midterm. And then I think the trading question.
Sebastian Ebel: Trading…
Mathias Kiep: To Sebastian?
Sebastian Ebel: Yes. I mean, the most important part for summer is the turn of year. So it's more a gut feeling I can give to you than it's absolutely based on numbers yet. Germany will stay strong. The question is how strong it will be. The U.K. will benefit too. The U.K. will benefit a lot from the proposition now of dynamic offerings, which we haven't had too much to phrase it conservatively. And now with a big step forward with Ryanair and some other changes we made to put more effort into dynamic and into dynamic sourcing, I would see that we will benefit from that significantly in the part in the next coming month.
Jamie Rollo: Thank you. Just on the first question, the maintenance reserve hit, could you quantify that? And is that going to normalize this year, please?
Mathias Kiep: I think this is very much dependent or as Sebastian also said, to interest and dollar development. So sometimes you have a positive, sometimes you have a negative impact. I think it's fair that the impact in Q4 was particularly strong and negative this year. At the same time, it's then of course difficult to predict how this will reverse or change in the future.
Sebastian Ebel: I would assume that Jamie wants to know if the dollar course and the interest rate would be the same, what the hit has been in the fourth quarter, right?
Jamie Rollo: Well, it would just be nice to quantify the hit actually, if nothing else?
Sebastian Ebel: Yeah.
Mathias Kiep: Yeah. I think it's double-digit but not triple-digit, and it's not in the high double-digits.
Jamie Rollo: Okay. Thank you. Thank you very much.
Operator: Our next question is from Cristian Nedelcu at UBS. Please go ahead.
Sebastian Ebel: Good morning.
Cristian Nedelcu: Hi. Thank you very much, and good morning. Maybe two questions from my side. I noticed the optimism on U.K. bookings on dynamic packaging. But if I compare the release today versus September, if I calculate well, October, November, it looks to me that there wasn't much growth in bookings year-over-year. Maybe they were a bit declining year-over-year. So just if you can elaborate a little bit why that was the case? And maybe the second one, looking at the free cash flow building blocks in 2025, can I run with you? We were starting from EUR230 million of free cash flow this year. You're guiding for EUR100 million higher EBIT. You're guiding for steep revenue increase, so potentially a couple of hundred million higher working capital. You're talking about TUI Cruises JV dividends increasing close to pre-COVID levels, that could be another EUR100 million, EUR150 million. You no longer have the EUR70 million investment in the new JV, the equity injection you had this year in the new hotel JV. So when I do this math, I'm getting to a free cash flow of EUR500 million to EUR600 million next year. Am I missing any important building blocks from here? I cannot fully reconcile this with your comment that your net debt would just moderately improve next year. What am I missing? Thank you.
Mathias Kiep: Thank you. Should I start on cash flow?
Sebastian Ebel: Yeah.
Mathias Kiep: And then maybe Sebastian on the trading. Indeed. I think if you look at the earnings growth, one part will come from the 100% business. Of course, this also includes Cruises. It will include RIU and the joint venture. So a part of this is, as always, is growth and value and will not automatically be dividends that come to us. Also the dividends, something from the joint ventures. You see also this year there is a time gap, because you always get this one year later. Second in terms of Cruise dividend, indeed. So this we expect to increase back to the historic levels. Investments, you mentioned RIU. The RIU founding funding was included in the EUR600 million of this year. At the same time, we increased our guidance for next year to this corridor, which is an average of EUR650 million, so that's a negative working capital indeed. When we grow the business, we should see a return also on our working capital. And then the second other important position is the amortization on the leases, which we expect to be broadly stable. Now, in terms of the other cash effects, as I mentioned, this is also subject to much -- how much changes do you have in the aircraft portfolio whenever you have an old aircraft and you need to pay for the maintenance on those. So that can be a bit volatile. But other than that, I think these are the major effects.
Sebastian Ebel: On the trading, I would not too much interpret into the actual numbers. They are good. We are confident that we can achieve the targets. The German numbers probably are a little bit overstated because of the small numbers we have booked. We do see potential for the U.K. market, so we are confident that we will see a nice set of numbers for winter and summer.
Cristian Nedelcu: Thank you. So if you allow me one follow up on the cost side, I guess you mentioned the maintenance charge. That was a meaningful headwind in Q4. But could you help us a bit understand, going forwards, what is the increase in the cost base in the Markets and Airline? We have this national insurance in the U.K., you talk about the investments, could you help us a bit quantify the pace of growth in cost there? Thank you.
Mathias Kiep: Yes. I think it's fair. You mentioned it, Sebastian. The inflation is coming down. Of course, these elements are not particularly helpful. I think this year we can manage with the changes in the U.K. pay system. At the same time, when we mentioned that we transform the business, this also means there's a lot of focus on costs. So I would say generally we had some headwinds already this year in terms of how much you can grow sales versus how much you can -- you have your cost increases. I think this is coming down to a more stable corridor, but it remains something to work on.
Sebastian Ebel: I think it clearly supports the message we transform the business and it's so important that we deliver on the transformation and we have seen positive impacts and last year we will see a significant further better positive impact in the new years and in the following years, maybe to offset some of the negative impacts and we want to deliver significant benefits, whatever the situation looks like. And as said, it's about being taken cost out, it's about fixed costs out, it's about buying better, it's about selling with higher margin. So, it's a full package. And knowing what we are delivering, we are confident that we can deliver what we are just have announced. I mean when we said last time, at least '25 we were able to deliver more. Very difficult to know what the market environment will be for us. It's important that we deliver the benefits for us and then we will see where we stand end of January when we have seen the turn of year bookings. But there's a strong focus on transformation. And last point like we did on the hotel side, it's so important to also grow outside the European core markets to get an improved winter profile, cash profile to get even safer volume stream into our own assets to benefit from the growth in other destinations. So it's a program which includes a lot of different measures and benefits out of these measures.
Cristian Nedelcu: Thank you very much.
Operator: Our next question is from Othmane Bricha at Bank of America. Please go ahead.
Sebastian Ebel: Good morning.
Othmane Bricha: Hello. Good morning, and thanks for taking my question. So just if you could be more specific on Market and Airline EBIT improvements in 2025. Can you explain a bit better the different moving parts between Boeing, between ETS and SAF, investment into operations? Other cost inflation is on the negative side. On the positive side, be specific about the impacts from fuel savings and impact from operating leverage from top line growth? And then more longer term still in Market and Airline, can you guide us on when we should think of significant improvements in EBIT for the Western region? And lastly can you just talked about growing the share of international in Market and Airline. Can you remind us what is currently the share of international within the division and how much will it grow, let's say, in four years or five years' time? Thank you very much.
Mathias Kiep: Do you want to share or start with the Western region maybe?
Sebastian Ebel: As the Western region had seen a quite significant amount of one-time effects, we assume a significant improvement there. And it's not on France, as Mathias said, it's been Belgium and the Netherlands. And the share of international, first, I would little bit differentiate between existing European markets and new European markets. As said, we are growing in Czech and other Eastern European markets that we are growing in Southern European markets and we have started to grow with Markets, not with Airline. The Airline will stay in the markets where they are. We are also growing in Latin America. Where will be the share in five years? I think it would not be solid to give you an indication today. We have ambitious plans, but let's see execute first and then we should talk about it and that we can do that. You may see from the hotel business we started 20 years ago in the Caribbean. We started five years or 10 years in Cape Verde. We just started two years ago in East Africa and it has worked very well. It's a significant part of the hotel profit. Give us a little bit more time to see what the achievements will be, but we are not in for 3% or 4% or 5%.
Mathias Kiep: Thank you. And just on the first question, in terms of how should we look at the development in Markets and Airlines, I think we just said we have a 1.5% EBIT margin in the segment and we expect this to grow towards 3% over time. That's our ambition. So you should expect that this segment with contributing to the earnings guidance of 7% to 10% has also further improvement in margin. And where should it come from? And this should come from contribution margin improvement, so kind of being more profitable despite these cost headwinds and an improvement, I think, we also have in our strategy on the distribution costs. Sebastian has shown the progress that we've done on the app. This is, of course, a marathon, I think that's the right word. And all these will contribute then to this step by step improvement of our margin situation and margin in Markets and Airline.
Othmane Bricha: Thank you.
Sebastian Ebel: Thank you.
Operator: [Operator Instructions] We have no further questions on the call, so I will hand the floor back to Sebastian for concluding remarks.
Sebastian Ebel: So, closing remarks. We had a good last year. We are confident about the new year. We have a very clear strategy. On Holiday Experiences, it's more the regular growth. Of course, a lot of things get better there as well. And on Market and Airline, it's about the transformation, to deliver the transformation, but not only in the core markets but also to grow the business outside today's core market. Again, to get more products to existing customer through the app and to get more customers in existing market but also in new European markets or in other outside European markets.
Nicola Gehrt: Thank you so much, all.
Sebastian Ebel: Thank you very much. Have a great…
Nicola Gehrt: Merry Christmas.
Sebastian Ebel: Merry Christmas.